Operator: Good day, and welcome to the Varonis Systems, Inc. Fourth Quarter 2015 Earnings Conference Call. Today's conference is being recorded.
 At this time, I'd like to turn the conference over to Lisa Sheldon [ph], Investor Relations. Please go ahead. 
Unknown Executive: Thank you, operator. Good afternoon. Thank you for joining us today to review Varonis' fourth quarter and full year 2015 financial results. With me on the call today are Yaki Faitelson, Chief Executive Officer; and Gili Iohan, Chief Financial Officer. After preliminary remarks, we will open up the call to a question-and-answer session.
 During this call, we may make statements related to our business that would be considered forward-looking statements under federal securities laws, including projections of future operating results for our first quarter and fiscal year ending December 31, 2016. Actual results may differ materially from those set forth in such statements. Important factors such as risks associated with anticipated growth in our addressable markets; competitive factors, including increased sales cycle time, changes in the competitive environment, pricing changes and increased competition; the risk that we may not be able to attract or retain employees, including engineers and sales personnel; our ability to build and extend our direct sales efforts and reseller distribution channels; general economic and industry conditions, including expenditure trends for data governance and data security software; risks associated with the closing of large transactions, including our ability to close large transactions consistently on a quarterly basis; new product introductions and Varonis' ability to develop and deliver innovative products; risks associated with international operations; and Varonis' ability to provide high-quality service and support offerings could cause actual results to differ materially from those contained in forward-looking statements.
 These factors are addressed in the earnings press release that we issued today under the section captioned Forward-Looking Statements, and these and other important risk factors are described more fully in our reports filed with the Securities and Exchange Commission. We encourage all investors to read our SEC filings. These statements reflect our views only as of today and should not be relied upon as representing our views as of any subsequent date. Varonis expressly disclaims any obligation or undertaking to release publicly any updates or revisions to any forward-looking statements made herein.
 Additionally, non-GAAP financial measures will be discussed on this conference call. A reconciliation for the most directly comparable GAAP financial measures is also available in our fourth quarter and full year earnings press release, which can be found at www.varonis.com in the Investor Relations section. Also, please note that a webcast of today's call will be available on our website in the Investor Relations section.
 With that, I'd like to turn the call over to our Chief Executive Officer, Yaki Faitelson. Yaki? 
Yakov  Faitelson: Thanks, Lisa [ph], and good afternoon, everyone. Q4 was a strong finish to 2015 with growth accelerating throughout the year to 30%. For the full year, we reported total revenues of $127.2 million, an increase of 26% over 2014 and an increase of 29% on a constant-currency basis.
 As we have discussed with you for some time, managing and protecting unstructured data is a big and growing problem. But like any new market, it takes time to develop. In the second half of 2015, we saw that companies across the globe could no longer tolerate the risks of not protecting the unstructured data. Consequences were clear. Companies lost customers and money and saw their brand reputation damaged. As a result, we receive more attention from decision-maker higher-up in the organizations, and our solutions are now critical component of the well-thought-out, well-funded security spending initiatives. We believe that we are in front of much more attentive market, and that we are the only company that can serve the massive challenges companies face in managing and protecting the unstructured data and file systems.
 We see that all the hard work we have done around our product and go-to-market initiatives is gaining traction. We are getting more up-to-speed around how to get unstructured data under control and how to manage risk. We also see meaningful uptick in web leads driven by increased market awareness. This heightened awareness produces friction in the sales process. Enterprise sales cycles still take 6 to 9 months, but our initial discussions are with more educated prospects. Companies know they had a problem and allocated their budget dollars to solve it.
 From a product standpoint, we believe that we remain best in class. We have developed a set of solution that reduce risk, reduce cost and increase productivity. We see an increase in demand for data protection and data-centric User Behavior Analytics and have found that our DatAlert product is an effective way to get into customer environments and provide immediate value.
 DatAdvantage and DatAlert quickly monitor critical assets from insider threat, reduce escalations and abuse. We reduce the amount of time we expect to find and assess real issue and recover from security breaches. Our new threat models are well received so far. They work out of the box and provide meaningful alert about potential threats to data from compromised accounts, rogue employees and administrators and even malware. The importance of alerting across all file system and all stores of unstructured data continue to drive interest for our DatAdvantage platform. We're also seeing an uptick in demand for products like our Data Classification Framework as it provides more context that makes Varonis alerts more actionable. DataPrivilege and our Data Transport Engine as customer moves towards automating migration and authorizations to better secure and manage their data.
 For example, the Kroger company, a new Varonis customer and one of the world's largest grocery retailers that employs more than 420,000 associates has purchased DatAdvantage for Windows, SharePoint and Exchange. Another new customer, Kilpatrick Townsend & Stockton, an international law firm headquartered in Atlanta, Georgia, purchased DatAdvantage for Windows and Directory Services, Data Classification Framework, DatAlert, Data Transport Engine and DataPrivilege to help tackle business requirements, such in mitigating internal and external risks, effectively managing permissions and identifying and locking down sensitive data. We believe that we have the product in place to drive our next leg of growth. This does not mean that we won't continue to innovate. Innovation is our life blood. But with our land-and-expand strategy, there is a meaningful untapped potential to sell more of what we have both through initial sales as well to our approximately 4,350 customers.
 To that end, we are very excited that Eric Mann has joined Varonis as our new Chief Operating Officer leading field operation and customer success programs. Eric brings depth and scale to our leadership team. His tremendous experience and proven track record of growing companies, such as NetApp and EMC, building out enterprise and channels. We are confident that he is the right person to help us grow our revenues to $500 million and beyond with his focus on field operation, he'll be instrumental in helping us structure our sales team and partner initiatives, so Jim O'Boyle and his team can focus on what they do best, selling to new and existing customers.
 We entered 2016 with more tenured sales force, compromised (sic) [comprised] of both sales people who can effectively tell the story and sales managers who can help the sales teams close business. While our products drive value to organization of all sizes, we are strengthening our focus on organizations with more than 1,000 users who increasingly have a mandate to protect data and reduce risk. This represent approximately 14,000 companies primarily in key territories across North America and Europe where we have an established presence and have identifying opportunity set to sell our solutions more broadly. We also see great opportunity to sell to the base and know that business from existing customers is more predictable.
 As we look to 2016, we see meaningful growth drivers for the business, and we will continue to make investments to support our products, competitive differentiation and go-to-market initiatives. However, you should also expect us to see incremental leverage in the model as we gain efficiencies in the business. The demand environment is positive, and we are well positioned to capitalize on the very real spend moving in our direction.
 With that, I will turn the call over to Gili. 
Gili Iohan: Thank you, Yaki. Total revenues for the fourth quarter were $43.8 million, an increase of 30% year-over-year and 34% on constant-currency basis. Our strong growth is a direct result of the healthy number of new customer wins, our ability to extend our relationships with our existing customers and our consistently high maintenance renewal rate, which, again, came in at over 90%. 
 The movement in foreign currencies when we provided guidance in November negatively impacted our revenues by approximately $1.2 million during the quarter.
 License revenues were $28.2 million. This represents a 30% increase from the fourth quarter of 2014 and 35% on a constant-currency basis.
 Our maintenance and services revenues were $15.6 million, increasing 30% compared to the fourth quarter of 2014.
 Looking at the business geographically, U.S. revenues increased 36% to $24.4 million or 56% of total revenues. EMEA increased 32% to $16.8 million or 38% of total revenues and Rest of World was $2.6 million or 6% of total revenue.
 During the quarter, we added 377 customers and ended the year with approximately 4,350 customers.
 For the fourth quarter, existing customers license and first year maintenance revenue contribution was 36%, in line with fourth quarter of 2014. And for the full year, it was 37% versus 36% in 2014.
 During the fourth quarter, we closed 1 deal greater than $1 million with a new customer. We will continue executing on our 2-pronged strategy of broadening our relationships with existing customers as well as increasing new customer addition.
 As of December 31, 2015, 45% of customers have purchased more than 1 product family, up from 42% as of December 31, 2014, further validating our focus on innovation and expanding the use cases for our products.
 Before moving on to the profit and loss items, I would like to point out that I will be discussing non-GAAP results going forward, unless otherwise stated, which, for the fourth quarter of 2015, exclude a total of $2.1 million in stock-based compensation expense. Please note that the detailed GAAP to non-GAAP reconciliation can be found in the tables of our press release, which is available on our website.
 Gross profit for the fourth quarter was $40.7 million, representing a gross margin of 93% compared to a 92% gross margin in the fourth quarter of 2014. Sales and marketing expenses were $23.4 million or 53% of revenues for the fourth quarter of 2015 compared to $18.6 million or 55% of revenues in the fourth quarter of 2014. We are making thoughtful investments in our go-to-market initiatives to capitalize on the positive demand environment Yaki discussed in his remarks.
 R&D dollars in the fourth quarter were $7.8 million or 18% of total revenue compared to $7.1 million or 21% for total revenues last year. We are focused on making measured investments in innovation, so we can introduce products to the market that extend our value, increase our use cases and extend our total addressable market.
 G&A expenses were $3.8 million or 9% of revenues compared with $3.2 million or 9% of revenues in the fourth quarter of 2014. Operating expenses totaled $35 million in the fourth quarter compared to $28.9 million last year. As a result, our operating income was $5.6 million for the fourth quarter compared to an operating income of $2.1 million in the same period last year.
 During the quarter, we had financial expense of $780,000 primarily due to foreign exchange losses compared to an expense of $806,000 due primarily to foreign exchange losses in the same period last year. As you know, foreign exchange gains and losses can fluctuate. Our guidance does not consider any additional potential impact to financial and other income and expense associated with foreign exchange gains or losses, as we do not estimate movements in foreign currency rate.
 Our net income was $4.7 million for the fourth quarter of 2015 or $0.17 per diluted share compared to net income of $1.5 million or $0.06 per diluted share for the fourth quarter of 2014. This is based on $27.8 million and $27.2 million diluted common shares outstanding for Q4 '15 and Q4 '14, respectively.
 During the fourth quarter, we generated positive operating cash flow of $1.9 million.
 We ended the quarter with 947 employees, a 13% increase from 840 at the end of the fourth quarter of 2014 and an addition of 55 people from the prior quarter. We have continued to increase of our headcount to grow the business and realize productivity improvements as we scale.
 I will now quickly recap full year results. Total revenues were $127.2 million, increasing 26% over 2014 and 29% on a constant-currency basis. License revenue increased 22% for the full year and 27% on a constant-currency basis. And maintenance revenue increased 30% over 2014.
 Non-GAAP operating loss was $11 million, an improvement compared to $12.6 million in 2014 as we realize leverage in the business.
 Non-GAAP loss per basic share was $0.52 compared to a loss of $0.60 for 2014. If we look at the balance sheet, we ended the year with approximately $106.3 million in cash, cash equivalent and short-term deposits. During the full year 2015, we used $2.7 million in cash for operation compared to $7.1 million of cash used for operation in 2014.
 Our ASP for the full year 2015 was $59,000 compared to $58,000 in 2014. This reflects the strength in our high-volume, low-ASP model and our ability to grow 2015 total revenue, 26% without meaningful contribution from large deals.
 Moving to guidance. For the first quarter of 2016, we expect total revenues of $28.3 million to $28.8 million. We expect our non-GAAP operating loss to range between $10 million and $9.6 million and non-GAAP loss per basic common share of $0.39 to $0.38. This assumes a tax provision of $100,000 to $300,000 and 26.1 million basic common shares outstanding.
 As a reminder, our first quarter include expenses related to our annual sales force kick off, which is primarily to train our sales force in our exciting new offerings.
 For the full year 2016, we expect total revenues in the range of $153.5 million to $156.5 million, representing year-over-year growth of approximately 21% to 23%. We expect our non-GAAP operating loss to be in the range of $12 million to $10 million and non-GAAP loss per basic common share of $0.49 to $0.42. This assumes a tax provision of $800,000 to $1.1 million and $26.2 million basic common shares outstanding.
 To summarize, we are pleased with our fourth quarter and full year 2015 performance. We believe we are very well positioned for success in 2016 and beyond.
 With that, we'll be happy to take questions you have. Operator? 
Operator: [Operator Instructions] And we'll take our first question from Matt Hedberg with RBC Capital Markets. 
Matthew Swanson: This is actually Matt Swanson, on for Matt. Yaki, it was really nice to see the strong growth across both your major geos. What changes have you seen throughout the year, whether it's improvement in the go-to-market or just better market awareness? And what do you think you have to keep doing to keep this execution that we saw on the quarter? And then, I guess, for the Rest of World category, could you just let us know what percentage of the decline is from Russia? 
Yakov  Faitelson: So first, regarding the business, I think that it's very important to understand that it's a developing market and when you're looking at Varonis, you need to look at it at a multi-quarter basis and even on an annual basis. Throughout the year, we told you that we feel very comfortable about the American business. So regarding the company, we feel comfortable about the company ability to execute and feel very comfortable, and now we have also Eric onboard, about ability -- our ability to do it at scale. But even more importantly is the external conditions. It was very interesting what happened in the security market. So early on, we saw a lot of emergency spending, and -- but it really generated a lot of the awareness that there is just enormous consequences regarding security breaches to your top line. So people will not do business with you if their data is not protected, the bottom line, there is so much that you can invest in security, and it needs to be effective. And the overall risk, every business, they have a lot of, if you will, edge and secret in digital assets that they need to protect, and we are front and center in this. So early on, when the an organization had emergency spending, when they had the emergency spending, we didn't benefit so much. But then we started to -- in many boardrooms, started to have the discussion of what it means, what are the assets that we need to protect, where is the risk, the risk coming from insiders in the form of rogue employees. And look at almost all the breaches, it's coming from inside, all malware that's stealing your credentials, all privileged accounts. And more than 50% of the time, unstructured data is involved, and all the times, file systems are involved. And we're really the only company that can solve it. So what happened was early on, starting with web leads and more RFPs and we started to see a very attentive market. We come into meetings with C-level people in the room that we don't -- who we need less to educate, and this is really what drove the strong finish for the year. And the last thing is DatAlert. So what happened was is that people starting to have budget for insider threat and User Behavior Analytics, and with DatAlert, the alert -- there is a lot of automations around it. You're coming with Varonis you don't need to do anything, and you are protecting -- protected your meaningful events. Suggesting the market some announcement we did in the product, it's a sales force that is not mature, everything starting slowly but surely to come together. And regarding the Rest of the World and Russia, Gili Iohan. 
Gili Iohan: In Russia we had very little expectations that we'd close any business in Russia, and our expectation remains that Russian -- the Russian business remains frozen. 
Matthew Swanson: Yes. And then, just looking from year-over-year perspective for the Rest of World, like how much revenue was from Russia last Q4? 
Gili Iohan: It was $2 million last year, and it remains the same this year. 
Matthew Swanson: All right. And then, just one more quick question. Hiring really picked up in the back half of the year. Can you give us some thoughts on what your outlook is in 2016, and if there's anything unique on geographies or areas of the company you plan on concentrating in headcount? 
Yakov  Faitelson: Yes. It's just -- it's important to understand, it's tremendous opportunity, and we are the owner of the market. And the competitive advantage is second to none, and fundamentally, the business just is very profitable and very strong. And the strategy in the markets that we are well established in North America and several key markets in Europe, there are around 14,000 customers with more than 1,000 users, and we want to have good coverage around it. So we want to make sure we cover the opportunity right. We also need to make sure that we have just the right productivity gain. So we are going to -- we're just going to increase sales capacity. But as we saw last year, we're doing it in a measured way. We are doing it in a very responsible way. We generated cash from operation in the third quarter and the fourth quarter. And we feel very comfortable with the way that we are investing, the way that we are scrutinizing it, the places that we put people, how we're carving the territories and also the balance between new market and investing in markets that are established for us and we are doing very well in. 
Operator: We'll take our next question from Greg McDowell with JMP Securities. 
Rishi Jaluria: This is Rishi Jaluria, dialing in for Greg McDowell. So look -- it looks like it's -- this is the third quarter this year that you've had positive operating cash flow. Just wanted to see, this as a sign that you're see some operating leverage in your model. And for -- looking forward to 2016, is this something that you think can continue into next year, especially given the healthy growth that you've guided to? 
Gili Iohan: So Rishi, we know how to drive profitable business. We've done it in our history, and there's a lot of earning power in our model. In 2015, we saw nice leverage, and we expect to show more leverage in 2016. The overall guidance calls for approximately 150 basis points of leverage, and we also think that we can generate positive cash flow in 2017. We know it's a huge market opportunity, but we didn't change the philosophy of investment. We are balancing between making the necessary investments to grow the business in our sales organization, in R&D, in new product development, and we're also taking the steps on our path to profitability as we grow in scale. 
Yakov  Faitelson: Just to add a bit to what Gili said, we used very small amount of cash in 2015, and we burned very small amount of cash, and this is the plans for 2016. We are planning to generate cash from operation in 2017, and profitability is front and center in everything we are doing. We just want to be profitable at scale. You see the number of customers and how the base is buying and everything that is going on with the insider threat. And our goal now is to take the company to $0.5 billion and to make sure that investing for the business, capitalizing the tremendous opportunity that we have on the budget that's slowly but surely coming to us. We work very well with growth, profitability and investing back in the business. And I think that we are demonstrating that we are doing it in a very responsible way. 
Rishi Jaluria: Okay. And have you seen any signs of a slowdown in IT spending, be it here in North America or in any other geographies that you're playing in? 
Yakov  Faitelson: At this point, we did it. It's -- I think that's what we are doing. When customer realize that they need it, it's critical to the business almost in every condition. I can't really talk about the economy, but what we didn't see -- we didn't see any slowdown. It was very interesting. The way that the market is shaping is different, and you need to understand it. I think that you've seen in the last decade, many few companies in enterprise software will build a completely new market category, and this is what we are doing, a big data analytics company that is focused on insider threat. And then no, we didn't see any slowdown. And at this point, we see that a healthy pipeline is building. And the other thing, remember also is the emergency spend. We didn't benefit from it. But after that, we're really starting to benefit from a very thoughtful way of spending that coming from boardroom, that coming from audit committees, that people are sitting for hours and hours and saying where are our information assets, what I can do, what are the processes that my organization can digest. Varonis is becoming front and center in this discussion. The other thing we saw just increase of several fold in a web lead without anything that we did, they are not -- people are looking to solve the solution (sic) [problem]. Again, it's enterprise sales cycle. It takes 6 to 9 months. People need to get the approval and everything, but it's very, very attentive market and a lot of mandate to solve this kind of problem that coming from the business. The business understand that in order to be in business, to protect the business, they need to make sure that the information assets are under control, and well over 50% of them in most organizations are unstructured data. 
Rishi Jaluria: Okay. Great. And last one for me, and then I will -- I'll jump off. But given some of the other products and especially, I'm curious about DatAnywhere, what sort of traction have you been getting with that product? 
Yakov  Faitelson: We see traction. But at this point, we have what we call the UBA with DatAlert. There is so much awareness came to all that, and we're really directing the sales force more to focus on that. So DatAlert is just dragging a lot of the Directory Services and all the DatAdvantage and the DCFs. There was just shifting the market towards us, and at this point, the security team, the sales team are more focused on security-related use cases. 
Operator: We'll take our next question from Raimo Lenschow with Barclays. 
Andrew Kisch: This is Andrew Kisch, on for Raimo. Can you guys maybe talk about products road map, and what areas do you see might be the next that you want to tackle, and maybe your thoughts on timing? 
Yakov  Faitelson: I'm very limited in my ability to talk about road map. But what I will say is that it's very interesting that there is a lot of understanding for many levels that you really need to understand what users are doing, this User Behavior Analytics. But User Behavior Analytics, there is a lot of people trying to do it on top of same solution, and the most important thing is the data. You didn't hear about one security breach that data is not involved. And so unstructured data is 50% of the data, and all the critical information is on file systems. And what happened is what's very interesting. So it's more than a decade of enormous machine learning, development and development of collecting Metadata for government. And on top of it, we can do a lot of analysis of -- by what we call threat models with so many customers. So we know what these -- how they are behaving to data file system configuration files. And within these models, to do a lot of analysis, to what you're always getting, which is a game changer [indiscernible] high alerts with very minimum false positives regarding that -- regarding your data. It's very easy to do forensics. It's very easy to be ahead of problem. You can find so many things and so many problems with very little noise. And a lot of what we are doing is towards that. Obviously, the cloud is a big opportunity for us, and we are doing many things with -- many things that's related to the cloud. And we see it's very exciting times for Varonis. It's -- a lot of the hard work that we did is coming together. And everything that we are doing regarding User Behavior Analytics is just changing a lot of the dynamics and really catering to what organization understand that they need. So we're very excited about the future. 
Andrew Kisch: Okay. And then, maybe, if I could have one more, Dave Dewalt from FireEye said that he -- from where he sits, he thinks that you're going to see reduced growth with cybersecurity spending in 2016, and especially in less emergency spending. Could you guys comment if you're seeing something similar from where you sit, and how that might shake out for you guys? 
Yakov  Faitelson: I think, I can't comment about what he said. I can tell you what I see. And what I see, when it was -- it was emergency spending. So I think in security, there are 2 trends: one is just stationary secular; and one that was based on a lot of fear. And other thing you have is 2 kinds of architectures: one is longevity, and you know that, that is premium offering; and the other one that is getting commoditized fast. And what we see is that there are no doubt that the consequences of security are here, and they are huge, and there is a lot of -- there is just -- this is front and center in every board room. So this is -- the other thing is what are you protecting, and you are protecting information assets from whom. Anybody with credentials that can access data, your privilege accounts and any type of malware, this is what it's going to attack. So unfortunately, when was emergency spending because we didn't call so much on the -- we also call on operations people, we didn't benefit from it. But now we're starting to really benefit from very thoughtful approach towards security. And when you want to do it and you don't need to check your box, you need to come in, and if you need to solve an insider threat over unstructured data and file system data in a complete way, in a way that you are really protected, in -- and in a way that you are -- in the way that you are really protected, we are virtually the only game in town. So we are really benefit on it in a huge way. Since the data is growing, User Behavior Analytics is becoming big from everywhere, companies like [indiscernible] and others, that doing it on different domains and everything that related to unstructured data, digital identities and file systems, it works very well for us. So I think that it was the same comments from them in Q3, and we came with a very strong Q4. So I just think that it's different dynamics, and I think that people that are covering us and just the investment community need to understand that this is just a new market that is emerging. It's a process, but it will be very hard to build business if you can't protect your critical information assets. So we believe that it's a secular stationary trend, and we also believe that it's very doable trend. And in terms of our competitive edge, we just -- it's strong as it can get. I don't -- many people tried, and it's just very, very, very hard to do. And we feel very comfortable with our competitive edge, and all our indicators show that insider threat is front and center and unstructured data getting a lot of attention, and Varonis is here to capitalize on this opportunity. 
Operator: We'll take our next question from Melissa Gorham with Morgan Stanley. 
Melissa Gorham: Yaki, you highlighted the hiring of Eric Mann as COO. It sounds like it's a great hire for you. Can you maybe give a detail if we should be expecting any sort of significant changes either from sales organization perspective or go-to-market with the new leadership? 
Yakov  Faitelson: No. So Eric built 2 multibillion businesses: one in EMC; and one in NetApp, and obviously, we work together just the next goals. I think we have a clear blueprint how to be a $0.5 billion business. We have a very unique, metric-driven sales process, and Eric is just second to none operator. We know each other. We've been in discussion for some time. He just came to augment the team. So Eric is responsible for the building block of the sales engine, which is the sales force, DSE [ph], professional services, field marketing, talent development, there is a lot to do, and Jimmy and the team are selling very well to customers. So we will bring new hires and maybe with time, we'll have some incremental changes, but Eric just came to be complementary to the team. And it's natural in a company evolution. You get to a certain size and bring a person who has a multibillion-dollar experience. And the other thing is the very -- very elements with Eric. He sold billions of billions of -- worth dollars of storage for unstructured data. And now this same valve [ph] that's selling heat and the same environment you want to protect this data. So I just think, it's -- for the overall sales motion for what he did at NetApp -- what Eric did at NetApp. He did 2 things very well. Number one, he brought them to the enterprise in a very consistent, strategic way; and the other thing, he enabled the channels. So this is what he can -- this is what came to do, and we are sure that he is the right person to do it. 
Melissa Gorham: Okay. Great. And then, the percentage of customers that have purchased more than 1 product continues to tick up. Just wondering if you've made any changes the sales organization or if you are now incenting your sales organization to accelerate that up-sell opportunity. 
Yakov  Faitelson: No. Up-sells are much easier for us. And the other thing that is important to understand is that for 2 years, we brought a lot of new customers. So you're buying a product. You're deploying it. You -- it's adding value. And with time, they are buying more and more, which is system optimization play, Melissa. This is how it works. If you want to protect your unstructured data on your Windows file system, you want to do it in UNIX, you want to do it in the cloud, you want to do it in Exchange, in SharePoint, it's just system optimization play. And the other thing is DatAlert, because DatAlert is starting to change the sales motion, and I will elaborate about it. So early on, we sold it up to operations for government in silos to do server  operations and to storage people. But now with the real-time alerting, what we're doing, we're bringing the infrastructure people many time, but we sell more to security, and security want to secure all the assets. So once we are already in and we're selling DatAlert, it's pushing for more DatAdvantage, Data Classification Framework, Directory Services. So this is really what you are seeing. You are seeing a market that is evolving and a lot of awareness evolving around it. And you see what we call also no touch value. You see that our ability to get to organizations and make sure that they are protected with relatively a little configuration and deployment time. 
Operator: We'll take our next question from Gur Talpaz with Stifel. 
Christopher Speros: This is actually Chris Speros, on for Gur. In previous calls, you guys have mentioned you've done a fair bit of educating the customer on the risks associated with unstructured data. Do you believe that customers now are beginning to really understand these risks? And do you guys have more of a strategic security investment? 
Yakov  Faitelson: Without a doubt. So what we see -- it was very interesting, the way that it evolved. First, the first thing that it was is just there was lot of web leads, and then we started to see a bit more RFPs. But we are coming to just more attentive audience. It's still, as I said, enterprise sales cycle with everything. We need to be a POC. Without a POC, it's not working. They need to see the value. It's an emerging category. But you are coming in. You don't need to educate anybody. They understand that they have the problem. They understand the -- also, the other thing is, relatively to the other problems that you have, if you are doing the POC in the right way and you're showing the value in the right way, it's much easier to prioritize. So I will call it a much more attentive market. And there is still -- we need to make sure we need to attack the market, much more attentive market. And it's still high volume, low ASP, but it's also the conditions in the market give us the ability, still we need the volume and we need the density but also to be more targeted. It's a gradual process. It takes time. And the other thing, I think, in the same token, it's important for me to explain that the company like Varonis in market that is shaping, you can't really judge on a quarter-by-quarter basis. It's more multi-quarter view and on an annual basis, but this has resulted out. It's just a much more attentive market. And when you are in the sales campaign, it's much easier to get to C level, and it's much easier to get to budget. People have budget for these kinds of things. 
Christopher Speros: All right. Perfect. Also, can you guys touch on the state of your federal business and your progress with -- and your progress in penetrating that one? 
Yakov  Faitelson: It's still early inning for us, but we believe that it's a massive opportunity, and we are investing in the market. We believe that once we'll have good momentum going there, it will work very well. But it's a process. But we have initial sales there, and they are all the indicators that it's a big market for us. 
Operator: We'll take our next question from Michael Kim with Imperial Capital. 
Michael Kim: So with the expansion marketing initiatives and the market awareness for your solutions, can you talk about where, by GEO, where are you seeing maybe the strongest improvement in down leads and pipeline and where your visibility is around -- certainly around some of the EMEA opportunities? 
Yakov  Faitelson: Primarily North America and the places that we are doing well in Europe, which is France and the U.K., but we see it everywhere. I think that the customers are everywhere, and the opportunity is everywhere. I think that for us it is a bit now to decide what not to do. And we just want to make sure that we are establishing this territory that we have. We're getting to critical mass to make sure that our partner make -- is doing enough revenues with us with enough margins to make sure that with time, we are going to gain the -- going to get the productivity gains that we want. But the problem is all over. Primarily, we are operating in Europe and North America. And we are so small and the opportunity is big, so this is really -- but first and foremost this is where most of the investment will go, and with time, obviously, we are going to expand all over the world. 
Michael Kim: And specifically, you have -- do you see a need to continue to expand on your distribution side of your channel partner relationships or focus most of your attention on North America opportunities? 
Yakov  Faitelson: It's both. In every place that we are selling, it's both. One of the things that we are doing. We are focusing on just more on channel enablement and partners enablement, and this is really how we go to market. And we want to make sure that we can contribute more in every phase of the sales cycle. But this is process. This is just work in progress. 
Operator: We'll take our next question from Srini Nandury with Summit Research. 
Jonathan Kees: This is actually, Jonathan Kees for Srini. Yaki, if I may, just in for RFPs, if I can ask in terms of what kind of trends are you seeing in terms of your win rates. Are they picking up? Are you -- I mean if you are owning the market, I'm assuming you're winning most of those RFPs, and that is picking up. 
Yakov  Faitelson: The win rates is very, very high. And regarding the RFPs, it's just what we call structured demand. People are coming, and we have a mandate to serve, to make sure that we know who is touching the unstructured data where there is abnormal behavior to make sure what the privileged accounts are doing regarding unstructured data, we need to classify our critical assets. We just need to see initiation of projects, funded project with deadlines to solve the problem. And it's exciting for us. This is something that we didn't experience in previous years so much. 
Jonathan Kees: Okay. Great. And them let me ask about that 1 big deal that was over $1 million. I'm assuming it's multiple products over with a very large customer. Can you talk in terms of how that customer, how that deal is different from some of the other customers? And is this an existing customer and it was a land-and-expand? Or is this all a new customer? 
Yakov  Faitelson: It's a -- it's just -- it was a new customer, but usually, our sizable deal the way that they are working is in chunks, starting small then there is another deal or 2, and then they decided to do a first authorization [ph] around the infrastructure, and they are buying everything. 
Jonathan Kees: Okay. All right. And so this is also a larger corporate customer, more like a Corporate 100 kind of customer, too? 
Yakov  Faitelson: It's a customer with many users. 
Operator: We'll take our next question from Yun Kim with Brean Capital. 
Yun Suk Kim: Obviously, a lot of market interest in your insider threat prevention, can you talk about what you're seeing in terms of the urgency of the customers to address this threat? And any new competitor that you may be facing in this new market? And then, also, like just try to better understand how this impacts your business model. Is the deal size in this market somewhat consistent with your historical trend or perhaps larger? I know you talked about sales cycle is still 6 to 9 months, but can that get shorter as you start to have some strong reference -- referenceable customers, given the urgency to deploy this solution? And like you said, they have the budget to do it. 
Yakov  Faitelson: Yes, I think that's a -- just a very good understanding that most of the threats come from the inside and also the consequences. So this works very well for us and we can prioritize very well. But the sales motion is the same. You're coming in, they want to see the value. Even they want to see the value more than ever because there is such an -- just an acute need to make sure that they are solving the problem completely and everything is working, and they are protecting -- they are protected. So this works very well. And still you're coming to an enterprise and you want to get a big chunk of money. There is just approval processes, while we are doing it, making sure that everybody onboard, how are we going to operationalize it. So this is a process. But what I will say the difference is that I'm not sure -- regarding the sales cycle is less, I don't think that it will ever much change, but it's more not -- it's not open-ended. So we know that if we are going to do everything right, come in, install the POC, involve the C-level people. If they are attentive, they will be in the room. They will see the security -- they'll -- you'll see the security assessment. They will see the results, and it's not something that can -- that they can ignore. So no one CFO, no one legal department in the world today, no one board can know that they have this problem, and it can ignore. This is over. This is a new world. And this is why you can have a bit more targeted approach. Our philosophy was always not to -- we are going to big commitments. It's just -- you come in, you prove your value. It's 1 license or part of the infrastructure, part of departments that are critical, and then we are expanding from there. We are much more focused on overall customer lifetime value than ASP. We want to get to the right customer. We want to make sure that we are serving them right. We want to make sure that it's going on time. As you asked me previously about more customers that buying more products, and this is really the way it works. So you really want to attack how the midsized market and the enterprise market. At times, we have deals more than million dollars, but we are not banking on it. And it's very important to have very strong customer lifetime value and make sure that the overall standardization play -- notization [ph] play is working. And regarding the overall marketing, I think that it's -- part is us and part is them. And what I mean by that is we created a product and invented this market, if you will. There is also market pull and people understand it. They understand the consequences. They understand what needs to be done. And this thinking about it, what is working and what is not and what they need to do first. And I think it's a process, but I think that it's a -- this is a gradual process that works for us because you need to protect your data. You need to protect the data where it lives. You need to protect the data from the inside out, and this is really where we are. Did I answer everything you asked? 
Yun Suk Kim: Yes, that's great. But are you seeing any new competition? Or is there a lot of different vendors with different solutions trying to address this, such that, there's a lot of time spent on whose got the true solution versus the other people, who's trying to address it from -- with a -- like, maybe not necessarily the direct solution to it? 
Yakov  Faitelson: No. So it's very interesting. So percentage now is -- the percentage of total evaluation, the competition as a percentage stay the same if not lower, but we see something that is interesting. Sometimes in a very rare incidence that someone decide to choose a competitor and not us, now they need to solve the solution completely. This is not just the checkbooks. They need to make sure they are getting in and they are protected, they really understand what is going on, they know how -- they understand the -- they have real-time alerting, and they still can support, in an effective way, multiple platforms. So what we saw in the last 6 months that some organizations that bought products from competitors in the last 2 years are coming in back and buying Varonis, and they are very happy with us. So this is the other thing that we are seeing it. We're seeing an approach from companies towards the problem, a very strategic approach. We know that we need to solve the problem. They understand that it's a strategic solution, and we just -- it's a -- we have to -- we are a moving target. It's how to catch this rabbit. So we have a lot of just engineering -- very strong engineering capacity. Every customer that we bring onboard, make us better and better. And it's something that is very hard to do. You can look at all the patents that we have. We also -- it's a new class of intellectual property. And at this point, I'm not worried about competition. 
Yun Suk Kim: Okay, great. Gili, I might have missed it, but can you tell us what the ASP was for the year? 
Gili Iohan: Yes, it was $59,000. Last year. It was $58,000. As Yaki said, our model continues to be high-volume, low ASP. It served us very well. We're not dependent on large deals, and we are focused on the high customer lifetime value and the land and expand. 
Operator: And we'll go to John DiFucci with Jefferies. 
John DiFucci: Sort of a higher-level question, Yaki. We often hear about Varonis being used for security against internal attacks like Yun was asking. And we also hear about it being used to improve the efficiency of storage assets and -- but we really see Varonis as sort of a platform to manage human-generated unstructured data. And it seems also that probably it can be used for a lot of different use cases. And I guess, I'm wondering if you are starting to see other use cases come about? And can you help us to just sort of think about that and perhaps identify other use cases today, where Varonis might be used? 
Yakov  Faitelson: Well, there are many, many use cases from infrastructure consolidation, what data you need to take to the cloud and whatnot; ownership, records management, parts of e-discovery, there are just so many things that you can do. What changed a bit is that early on, companies understood the risk and we needed to talk about a lot of operational efficiencies around it. But today, there is just a real understanding that the threat is impacting your top line, generating risks that you cannot tolerate and impacting your bottom line, and it works very well for us. It's just -- it's a simpler, more strategic sales motion in the last few months. And yes, once we are getting in, it's much easier to do. But it's also rewarding that you have a CFO in the legal department and a CIO that got a mandate from the Audit Committee to serve an insider threat problem. So yes, it's a platform for many use cases, as I said. But I think we started always risk was front and center, make sure the right people can access the right data. You can monitor use and they alert on abuse. And now, just works very well for us. So interestingly enough, what happened is that we can simplify the message, we can sell to less people and be more strategic, and I can't complain about that. But once we are in, there are many use cases and the -- if the organization cannot just -- at the end of the day, it's cutting cost, and the increasing productivity is also -- it's also very important. And we definitely have focused on all the use cases and that we can realize value from all the use cases. But the fact that you can come in, make sure that you need to monitor all the estate and with the real-time alerting and the analytics, you can do it with not equal or no touch value. You don't need a lot of operations. People around it, there is the objection of, yes, I need it. I know it, but I don't have people to do it now. This is going away. You just -- this is what I mean about friction in the sales force. This is just reducing friction, and it's a good feeling. 
Operator: And that will conclude today's question-and-answer session. I'd like to turn the call back over to  Yaki for any additional or closing remarks. 
Yakov  Faitelson: To end the call, I want to thank all of our employees for their contribution to our success this year, all of our customers for their continuous support. Thank you for joining us today. We're looking forward to speaking with you soon. Thank you. 
Operator: And that does conclude today's conference. Thank you for your participation.